Juliana Clifton - VP, Communications:
Jonah Peretti - CEO and Founder:
Matt Omer - CFO:
Operator: Good day, and welcome to BuzzFeed's First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Vice President of Communications, Juliana Clifton. Please go ahead.
Juliana Clifton: Hi, everyone. Welcome to BuzzFeed, Inc.'s first quarter 2025 earnings conference call. I'm Juliana Clifton, VP of Communications for BuzzFeed, and joining me today are CEO, Jonah Peretti and CFO, Matt Omer. Before we begin, please note that our remarks today will include forward-looking statements. Actual results may differ materially from those contemplated by these statements. Risks and factors that could cause actual results to differ materially are described in our Q1 2025 earnings release and in our filings with the SEC, including our most recent annual report on Form 10-K and our Q1 2025 quarterly report on Form 10-Q to be filed with the SEC. Any forward-looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. During this call, we present both GAAP and non-GAAP financial measures, including adjusted EBITDA and adjusted EBITDA margin. The use of non-GAAP financial measures allows us to measure the operational strength and performance of our business, to establish budgets, and to develop operational goals for managing our business. We believe adjusted EBITDA and adjusted EBITDA margin are relevant and useful information for investors because they allow investors to view performance in a manner similar to the method used by our management. A reconciliation of these GAAP to non-GAAP measures is included in today's earnings press release, which is available now on our investor relations website. Now I'll turn the call over to Jonah.
Jonah Peretti: Thank you. Good afternoon, everyone. We're pleased to kick off 2025 on strong footing, operationally, financially, and strategically. In Q1, we made continued progress executing on our dual focus, running a leaner, more profitable core publishing business, while investing in transformative new applications powered by Generative AI. Our publishing business benefits from strong, trusted brands, BuzzFeed, HuffPost, and Tasty. These brands are led by creative teams who are skilled at curating the internet, covering the most important stories, and developing creative content ideas. They have access to the best publishing tools, including new AI tools that have allowed us to increase editorial output 17% this quarter, and a new tool used for some stories has increased article performance by an average of 25%. This is possible because AI assistance allows us to combine the best of both worlds, human taste with AI insights. On the monetization side, our lighthouse platform continues to improve with AI-powered ad targeting that actually understands our content, driving more contextually relevant placements for brands. We are less dependent on platforms than ever, with 62% of US traffic to BuzzFeed.com coming from direct visits, internal referrals, and app usage. All of these developments have been hard won by our team, and it is gratifying to be in a much stronger position after several years of transformative work. We are excited to continue these efforts to achieve our goal of driving profitable growth at our maturing publishing businesses. We are also looking forward to the future as AI models open the possibility of totally new businesses. As we make progress on developing BF Island, our new AI-native social media app, we've been testing more AI-powered user-generated formats on BuzzFeed's site. Our users have been very eager to create using these new formats. Users who make AI creation on BuzzFeed spend over 20 times longer on our platform than casual Facebook-referred users. Users who create and share their AI content spend 40 times longer on our platform than casual Facebook-referred users. AI creations are shared seven times more than all other content types on our platform. We are seeing new users' behaviors emerge as our audience learns to create and play with AI-powered formats. We will accelerate the development of these formats and push them even further with the launch of BF Island. Based on what we are already seeing on BuzzFeed, we believe there's a huge opportunity to drive significant growth and engagement and time spent on BF Island, transforming the depth of connection we have with our audience. We are making progress on development and can't wait to share more with you later this year. With that, I'll turn it over to Matt to walk you through our financials.
Matt Omer: Thanks, Jonah. Our Q1 2025 results reflect continued progress in improving operational efficiency and positioning the business for long-term sustainability. While total revenue declined slightly year-over-year, we delivered meaningful improvements in both adjusted EBITDA and our bottom line, driven by a lean operating structure, cost management, and sharpened strategic focus on scalable revenue streams. As a reminder, all financial results are reported on a continuing operations basis and exclude complex and bursary fees. Here are our first quarter 2025 results. Total revenue for the quarter was $36 million, compared to $37 million in Q1 2024. This modest decline was primarily driven by declines in our direct sold offering, largely offset by continued improvements in programmatic advertising and affiliate commerce. Advertising revenues grew slightly year-over-year to $21.4 million, compared to $20.9 million in Q1 2024. This was our fourth consecutive quarter of growth in programmatic advertising, which increased by $2.5 million year-over-year. That growth offset a $2.1 million decline in direct sold advertising, a category that was largely impacted as a strategic shift during our 2024 restructure. This shift continued to reduce volatility and increase predictability in our ad business. Content revenues totaled $4.4 million, down from $6.7 million in the prior year. This decline was driven by fewer direct sold content deals, which fell by $3.2 million year-over-year. However, we did see a $900,000 increase in studio revenue, which continues to vary quarter-to-quarter, depending on project timing. We remain thoughtful in how we allocate resources to branded and custom content, focusing on margin and quality. Commerce and other revenue rose to $10.2 million, from $9.3 million a year ago. This growth was driven by a $1 million increase in organic affiliate commerce, marking the fourth straight quarter of year-over-year growth in this category. Commerce remains one of our most efficient and scalable revenue lines, and we're expanding our efforts across key shopping windows, especially on our own and operating properties. From a profitability perspective, we're seeing real traction in the change we made in 2024. Net loss from continuing operations improved significantly to a loss of $12.5 million compared to a loss of $27 million in the same quarter of 2024, cutting our losses by more than a half. Adjusted EBITDA came in at a $5.9 million loss, which marks an improvement of $8.5 million year over year. These increases reflect our streamlined work structure, lean cost base, and a clear focus on driving long-term value. On the audience engagement side, our core brands continue to show resilience. Total time spent across our properties increased slightly to 67.9 million hours, up from 67.3 million hours in Q1 2024. While modest, that growth came alongside a smaller content footprint and tighter cost controls, reinforcing that our focus on loyalty and product quality works. Looking ahead, we remain focused on scaling our most profitable revenue streams, programmatic and affiliate, while investing in high upside new innovative projects like BF Island. We are operating with greater efficiency and we believe our strategy positions as well to drive long-term value for shareholders. We are reaffirming our full year 2025 guidance as follows. Revenue in the range of $195 million to $210 million and adjusted EBITDA between $10 million and $20 million, in line with the outlook we've shared last quarter. Thanks again for joining us today. I'll now hand the call back to Juliana so we can take some questions.
A - Juliana Clifton: Thanks, Matt. The first question we received is, can you touch on BuzzFeed's outlook for macro conditions and what you're hearing from advertisers regarding spend for the year? Jonah, I'll let you take this one.
Jonah Peretti: Thank you. So, you know, we talk to a lot of advertisers and it's clear that everyone is taking an approach where they're trying to see what's going to happen in the next few weeks and months. We are in a pretty chaotic environment where the administration doesn't really roll things out in a measured and orderly way. So there's a lot of surprises that could impact the macro economy. We're not sure, for example, what will happen with tariffs with China. There could be huge tariffs, there could be small tariffs. It's really hard to know what will happen in the next few months. I would say that the overall economy seems fairly strong, but that uncertainty does cause some advertisers to kind of take a look and see approach or pause. But it's not like a normal economic slowdown type of pause. It's like, let's wait for the announcement next week or the change that might happen in the very near future before we decide exactly what we're going to do for the year. And so I think overall, just being very adaptable and being able to move quickly as things develop is the best strategy. I'll also say that the biggest macro trend we're seeing is the continued improvement of generative AI technology. And I think that is going to have a larger impact on the economy than any of the noise we're seeing right now from the Trump administration. The shifts in the capacity of AI models are going to have a massive impact on the economy. And I think they're a huge opportunity for our business and a huge opportunity to drive economic growth. And I think that's going to, when we look back five years from now at this time period, I think we're going to think more about the macro effect of the AI revolution than we're going to think about some of the other noise that people are talking about right now.
Juliana Clifton: All right. The next question we received is, do you expect to lean into more programmatic revenue in a more uncertain macro? What would be the implication? Jonah, I'll let you take this one.
Jonah Peretti: Yeah, I mean, it's definitely in times where there's more uncertainty, programmatic is great. It's very efficient. It can continue to run. A lot of programmatic advertisers have set ROAS that they're looking for, and they'll just continue to run and sometimes even uncapped as they are getting value from the advertising. So we really like programmatic revenue for that reason. It's tech enabled, it's scalable. We have a great team that's working on optimizing our programmatic and has been able to get a lot of, make a lot of improvements over the years. There's as I mentioned before, the lighthouse has also been helpful in bringing new technology to targeting and more contextual types of placements. So we're definitely excited about programmatic revenue. I think it's, it is a more resilient form of revenue, even in a tougher economy, you'll see that advertisers really like the measurability and efficiency of programmatic advertising. So, I would expect it to be a higher percentage if we ended up in an unexpected macro kind of downturn, but it will be important regardless of what happens in the economy, because it's very scalable, tech enabled and measurable. So clients really like it.
Juliana Clifton: Thank you. Next question. Have you seen any changes from commerce partners as tariffs have been implemented? Do you see any risks to the commerce segment? Matt, do you want to take this?
Matt Omer: Yeah, sure. So we have yet to see any meaningful impact from the tariffs so far. Our commerce business is diversified across various retail categories and partners, which gives us a lot of flexibility and ability to kind of measure and kind of monitor and ultimately reduce our risk exposure to tariffs.
Juliana Clifton: Thanks. What is your outlook for cash flow generation in 2025? How should we think about this conversion from EBITDA to FCF? Matt, do you want to take this?
Matt Omer: Yeah. So while we provide specific guidance on free cash flow, I'd say based on our guidance range, I'd expect positive cash flow from operations to be offset by modest CapEx and capitalized software. As a reminder, as a primarily digital company, our physical CapEx needs are quite low, but we do capitalize a portion of our tech team's compensation, and this was about $12 million in 2024. So I think you can use that as a proxy.
Juliana Clifton: Thanks, Matt. All right. That was our last question. Now I'm going to hand it back to the operator.
Operator: Thank you. As there are no further questions, this concludes today's conference call. Thank you all for participating. You may now disconnect.